Operator: Good day, and welcome to the LanzaTech Global, Inc. Fourth Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Omar El-Sharkawy, Vice President, Corporate Development. Please go ahead, sir.
Omar El-Sharkawy: Good morning, and thank you for joining us for LanzaTech Global, Inc's fourth quarter 2023 earnings conference call. On the call today, I'm joined by our Board Chair and CEO, Dr. Jennifer Holmgren; and our CFO, .Geoff Trukenbrod. Earlier this morning, we issued a press release with our fourth quarter and full year 2023 financial and operating results, as well as an investor presentation summarizing the company's performance and key operational highlights. Subsequent to this call, we intend to file with the SEC our annual report on Form 10-K for the fiscal year ending December 31, 2023. Both our press release and results summary investor presentation can be found in the investor relations section of our website at www.lanzatech.com. Before we begin, I'd like to direct you to the disclaimers in the front of the company's investor presentation and remind you that today's call may include forward-looking statements. Any statements describing our beliefs, goals, plans, strategies, expectations, projections, forecasts, and assumptions are forward-looking statements. Please note that the company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business prospects and future results. We assume no obligation to update publicly any forward-looking statements. In addition, we will be discussing and providing certain non-GAAP financial measures today, including adjusted EBITDA. Please see our earnings release and filings for reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. Today's call will begin with remarks from Jennifer, providing an overview of our performance and outlining our 2024 objectives. Geoff will then review in greater detail our financial results and Jennifer will conclude with a few closing remarks. At the conclusion of these prepared remarks, we will open the line for questions. With that, I'll turn the call over to Jennifer.
Jennifer Holmgren: Thank you, Omar, and thanks to everybody joining us today. We appreciate your ongoing interest in and support of LanzaTech as we host our first year-end earnings call and fourth call since becoming a public company just over a year ago. Starting with Slide 5, we had a strong year of growth overall and as compared to 2022, increased our revenue by 68%. As discussed in our third quarter earnings call, we had a very strong quarter-over-quarter growth through the first three quarters of 2023, and we're proceeding on track to achieve the low end of our guidance. However, while fourth quarter revenue increased significantly year-over-year by 77% to $20.5 million, this was meaningfully below our expectations. As a result, our full year revenue of $62.6 million was well below the $80 million to $100 million full-year guidance that we provided last year, as several material opportunities identified as fourth quarter revenue drivers failed to materialize. Weaker than anticipated fourth quarter results were primarily driven by CarbonSmart opportunities that did not materialize during the quarter. It is important to note that the issues were not demand driven, which remains robust for our CarbonSmart product. Rather, the challenges we faced late in the quarter were related to availability of offtake supply of CarbonSmart ethanol from our various licensees for three main reasons: One, there were some facilities that were somewhat delayed in coming online in 2023 compared to our early and mid-year expectations; Two, policy requirements for fuels are still not finalized at the European level, leading to delays on how to certify our ethanol as fuel for sale in the European Union; And three, without clear commitments, we did not inventory significant supply and were unable to satisfy several CarbonSmart orders that came in late in the quarter as our licensees had already committed those volumes to others. We are taking key steps to address each of these challenges head on. First, we're supporting our partners through the certification process. And second, we are negotiating committed off-take supply agreements with our partners in China and Europe to satisfy the growing CarbonSmart demand in 2024 and 2025. While adjusted EBITDA loss for 2023 was below our goal at $80.1 million, we showed quarter-over-quarter improvement throughout the year as a result of our increased focus on improving gross margin and controlling operating expenses. This cost control discipline will continue through 2024. We ended 2023 with $121.4 million of cash on hand, including cash, restricted cash, and investments, which we believe provides sufficient runway for more than 15 months. We are disappointed by the shortfall versus our guidance, and accountability for performance must start at the top. Therefore, we are addressing this underperformance head on with several organizational changes and corrective actions. We must deliver relative to our targets and we're taking actions to ensure we are demonstrating this core principle. I would highlight three specific actions we have taken, as you can see on Slides 6 through 8. First, this morning we're announcing a significant reorganization of our management team. The goal of this reorganization is to drive greater accountability as well as operational transparency and efficiency, ultimately enhancing execution throughout the company. Dr. Steven Stanley, LanzaTech's Chief Commercial Officer, has elected to retire and Carl Wolf, LanzaTech's Chief Operating Officer, will be departing the company to pursue other opportunities. We would like to thank each of them for their many contributions to the company and wish them well. These departures, together with some additional restructuring of the Executive Team have reduced the size of the go-forward executive team by 33%. Ms. Aura Cuellar, our EVP of Growth and Strategic Projects, has been named President of LanzaTech. In this new role, Aura will be responsible for all revenue generating business lines and engineering work, in addition to continuing to lead our strategic projects group. Bringing all revenue under our stewardship will create synergies and ensure accountability across all three parts of our business. Having a single point of responsibility for all revenue sources, as well as our engineering team, will ensure focus and prioritization across all commercial activities. Dr. Zara Summers, our Chief Science Officer, will be additionally responsible for our Scale-up and Product Manufacturing team. Dr. Robert Conrado has been named Chief Technology Officer. In addition to continuing to lead technology development up to front in engineering design, Rob will now have responsibility for all process infrastructure technology. Consolidating all departments under Zara and Rob's respective leadership will also drive efficiencies. Bringing science and synthetic biology leadership under same roof with product manufacturing will improve commercial product viability. Our scientific computing capabilities create the ability to leverage the extensive generative AI, informatics infrastructure and machine learning capabilities built within LanzaTech for synthetic biology work across the businesses to increase efficiency in our scale-up, engineering, workforce, and business processes. Second, together with the management reorganization, we executed a plan eliminating a variety of additional roles based on reprioritization of work and poor performance. Collectively, we expect these actions to reduce our annualized operating expenses by $5.3 million, which we expect to result in approximately $4.2 million in annual cash saving. This will also reduce our headcount by approximately 5%. We intend to end the year where our global headcount below 400 people as compared to the approximately 415 people at the end of 2023. We are also implementing a plant in the first half of the year to offset over $10 million in additional cash burn annually, and we will continuously review the organization and our strategic growth initiatives to ensure our team is balanced between our need to drive sustainable, profitable growth and innovation. We believe these changes position the organization for long-term commercial success and to deliver on our targeted KPIs and strategic priorities. Third, we cut the targeted 2023 cash bonus payouts for the executive and management teams, myself included, by 80%, which in the aggregate represented approximately $3 million in cash savings. This component of compensation for the executive and management teams is tied entirely to company performance and accounts for a significant portion of leadership's total target cash compensation. This action reinforces our alignment between compensation and performance, and evidences are paid for performance culture. Together, we expect these actions to improve and streamline our execution, while also reducing our cost structure consistent with our sharp focus on balance sheet health. Right sizing the organization and the headcount optimization will ensure focus on commercial growth in our core businesses and the cash bonus decisions will send a clear message to management that we are focused on delivering financial results. Turning now to Slide 9, I want to recap our other execution priorities from last year and highlight that 2023 was a milestone year for LanzaTech, marking our 18th in operation. That's a testament to our diligence, patience, resilience, and perseverance of our team, as well as the difficulty associated with scaling and commercializing a disruptive process technology. In 2023, together with our partners, we started up three commercial scale plants, bringing the total number of operating commercial LanzaTech plants to six. The total installed main plate production capacity across our licensees operating fleet is approximately 310,000 tons per year of ethanol with the ability to abate more than half a million tons per year of carbon that would otherwise enter our atmosphere. The four commercial plants in China are operational and we expect that Indian Oil facility in India, as well as ArcelorMittal's facility in Belgium, will continue to ramp up to full capacity over the course of 2024. The Indian Oil facility started up in September 2023, and the team in India is working diligently to ramp up production. As is normal with a new commercial feedstock, refinery off gas in this case, the startup phase can be elongated, but we are confident that successful full-scale operations will be achieved in the coming months. ArcelorMittal plant started up in November 2023. The steel mill shut down at the end of the year for planned routine maintenance, and the mill is now back in operation, and the team in Belgium has restarted operations with a ramp up of production expected over the next two quarters. In mid-January, LanzaTech celebrating the opening of the world's first Ethanol-to-Sustainable Aviation Fuel Facility at its 10 million gallon per year plant in Soperton, Georgia, as seen on Slide 10. The SAF plant is expected to ramp up production over the first half of the year, having the ability to produce up to 90% sustainable aviation fuel and 10% renewable diesel from ethanol. LanzaTech’s ethanol serves as a feedstock for SAF and when coupled with LanzaTech’s technology enables production of SAF from a variety of waste inputs and residues, including municipal solid waste and carbon dioxide plus hydrogen. The latter is commonly referred to as e-fuels or Power-to-X. While we currently have an approximate 25% ownership in LanzaJet, the completion of this facility also represents a significant milestone for LanzaTech ownership in LanzaJet as it is expected to prompt our co-investors and others to take licenses to build their own alcohol-to-jet plants, which in turn triggers the issuance of additional LanzaJet shares to LanzaTech. Looking now at safety, one of our core values, I do want to acknowledge that we experienced a singular recordable loss time injury during the fourth quarter, the first such incident since November 2018. This was the only recordable incident in all of 2023 across our global operations and was a result of the lab-related incident that occurred while moving equipment. The employee made a complete recovery from the injury and returned to work quickly. We have addressed the root cause of the incident and remained vigilant in ensuring the safety of all employees and stakeholders. Lastly, from a process competitiveness standpoint at the Suncor facility in Canada, we demonstrated at scale the production of the key new proprietary bacterium production strain capable of making isopropyl alcohol, or IPA. IPA commands a large market of approximately $3 billion annually and can be utilized as a feedstock for the production of polypropylene which has an annual market size of approximately $123 billion. This process is now ready to license, and we expect to do so in 2024. Additionally, our strain engineering and fermentation optimization work on the direct microbial production of monoethylene glycol, or MEG, a chemical with an annual market size of approximately $25 billion and a key ingredient in the production of PET fibers and bottles, continued successfully as our science team's overall goal is to develop new commercial frames for the direct production of high value, industrially relevant molecules. Moving to Slide 12, we outline our strategic priorities for 2024, which are safety, commercial growth, and path to profitability. First and foremost, safety. We're a safety first organization and will continue to strive for excellence and zero safety incidence. Second, commercial growth. Even against the somewhat difficult macro backdrop and challenging phase cycles, our market opportunity remains outstanding, and we are committed to accelerating our growth by adding and advancing projects through our commercial pipeline. As we progress projects and ultimately bring more plants online, we will further expand our base of long-lived, high-marketing recurring revenues from royalties, the sale of microbes and media, and other services. On Slide 13, you will see our current project pipeline funnel. Since our last update, we added several opportunities to the top of the funnel, and we saw five net additions to the early stage engineering phase, either through advancement from the [TA] (ph) stage or from projects already in early engineering. Licensing is hard and dependent on the decision cycles of our licensees and many organizations around the globe have leaned away from next generation work in this macroeconomic environment. However, we continue to add to our backlog and are encouraged by the diversity of the pipeline, including the diversity of feedstocks, the variety of technical integration, and the geographic breadth. With regard to diversity of feedstock in the pipeline, industrial off-gas and gasified solids make up approximately 42% and 38% of our opportunities respectively, with other feedstocks, including carbon dioxide plus hydrogen, representing the remaining 20%. The feedstock diversity shows the extensive reach of our technology as a distributed decarbonization solution that is fit for purpose. Related to technical integration, we have seen tremendous global interest in SAF. This is unsurprising given the enormous market opportunity. Approximately 100 billion gallons of SAF is needed to meet the world's fuel needs, while the current annual production capacity of SAF only stands at approximately 120 million gallons. We have several opportunities in the pipeline that focus on an integrated solution to take waste gas through the SAF by pairing LanzaTech's gas limitation technology with the LanzaJet alcohol to jet process. The ramifications of this are enormous as it unlocks the use of locally advantage feedstocks to enable regional domestic production of SAF at industrial scale without negatively impacting the food supply chain. Specifically, we have four integrated waste to SAF projects in early stage or advanced engineering stages, including our project in New Zealand with Air New Zealand and the New Zealand government to take predominantly gasified forestry residues through the SAF. Our project with Tadweer in Abu Dhabi to take gasified solids through the SAF, our Project Dragon in the UK to take industrial off-gas through the SAF, and our project to take gasified solids through SAF in Australia. There is significant feedstock advantage in the alcohol to jet technology and our ability to produce ethanol from multiple waste sources is a clear differentiator, further supported by several sub mandates for Power to X fuels in regions like the European Union to create a distinct market from fuels produced from CO2. Geographically, we are seeing regional bubbles of projects forming with strong partners that are focused on decarbonization. These partners are leading the way in their respective regions like the Middle East with partners like ADNOC and Tadweer and in Saudi Arabia through a partnership with Olayan, as well as in India with partners like Indian Oil Corporation and Gale. Overall, the buy-in we're securing amongst these leading organizations establishes strong regional footholds, allowing us to focus our resources regionally and capture large local markets. We expect that engineering services revenue will be bolstered by several projects this year, including our project with Tadweer, our work with ADNOC for a prospective carbon dioxide plus hydrogen project, also in Abu Dhabi, our work across a couple of commercial gasified MSW projects with Sekisui in Japan, as well as from several projects in India. Additionally, we anticipate revenues from sales of equipment packages to materialize from several projects beginning construction in the second half of the year. In addition to the significant depth of our commercial licensing pipeline, we anticipate transferring our first project to our infrastructure capital partner Brookfield this year, while ramping up development of additional projects for them. Additionally, we're actively developing a pipeline of project opportunities with our partner, Olayan in Saudi Arabia and the broader Middle East. Overall, the health of our commercial project pipeline remains strong, and we are progressing these opportunities through the development process, setting us up for the next crop of projects to be placed into service in the near future. In our CarbonSmart business, we remain focused on sales into the global chemicals market. For our chemicals customers, third party sustainability certification is important. And we can provide ethanol for downstream applications that comes from round table and sustainable biomaterials or international sustainability and carbon certification certified facilities. We are optimistic about selling CarbonSmart ethanol into the low carbon fuels market, specifically in the EU, once regulations have settled at the European Commission on how these first-of-the-kind fuels are treated. Positive technical guidance continues to be provided by the Commission, but is not yet final. Additionally, approvals from the certification bodies who can officially certify recycled carbon [shoes] (ph) for the road, air, or marine markets in the EU are still pending. We are following this rule making closely and see significant upside potential for our CarbonSmart business as the regulatory environment firms and certifications are finalized. Third, path to profitability. We are focused on developing high quality revenue streams that will continue to expand our gross margin, while maintaining a disciplined eye on operating costs. The recent reorganization of the business demonstrates our commitment to achieving the goal of sustained long-term profitability and will strengthen our focus, prioritization, and execution of high-quality revenue opportunities. Our leadership team remains committed to smart growth and right-sizing the business to achieve success, no matter the challenges we face. We are motivated by the importance of our work and significant progress we have made to date. We're focused on our core business and delivering upon the key strategic priorities that we laid out for this year. With that, I'll turn the call over to Goeff to provide details on our financial performance. Goeff, please go ahead.
Geoff Trukenbrod: Thank you, Jennifer. Good morning, and thank you to everyone for joining us on the call. As seen on Slide 15, total revenue for the fourth quarter of 2023 of $20.5 million grew by 77% year-over-year, bringing 2023 annual revenue to $62.6 million, a 68% improvement over 2022. While we were disappointed by the performance of our CarbonSmart business during the quarter, revenue from our core Biorefining Carbon Capture and Utilization business grew 103% year-on-year in the fourth quarter to $14.2 million, driven mainly by ongoing and recently initiated engineering services work across several projects. The Biorefining business saw 101% growth year-on-year in 2023, reaching $42.6 million. JDA & Contract Research revenue grew 21% year-on-year in 2023, reaching $14.6 million. This performance was supported by several customers and government grants which are typically multi-year in duration. On the CarbonSmart side, while this part of the business significantly underperformed our expectations for the reasons we have discussed, especially in the fourth quarter, for the full year our CarbonSmart business achieved 33% growth year-on-year, reaching $5.3 million. Our focus on revenue quality continued in the fourth quarter as we saw a gross profit improvement of 62% quarter-on-quarter, $8.5 million, bringing the full year gross profit to $17.7 million, approximately doubling our gross profit from the prior year. This fourth quarter improvement was driven by high margin engineering services work in JDA & Contract Research, resulting in fourth quarter gross margins of 41% and full year 2023 gross margin of 28%, up approximately 400 basis points over 2022. While some of this engineering services work in the fourth quarter benefited from extraordinary pricing terms, we do expect gross margin to be in the mid to high 20s for 2024, based on our anticipated revenue mix and significant amount of lower margin equipment revenue in this particular year. We remain focused on improving gross margins while accelerating revenue growth in 2024. Operating expenses continue to decline quarter-on-quarter in the fourth quarter, coming in at $27.1 million. This decline came as a result of lower quarterly research and development and SG&A expenses and greater billable utilization of our teams. Operating expense for 2023 was $124 million, and as a result of the executive reorganization, headcount reductions, and other cost-cutting initiatives Jennifer laid out earlier, we expect 2024 operating expenses will be flat or lower as compared to 2023. To recap, we expect the earlier discussed reorganization initiatives will reduce annualized operating expenses by approximately $5.3 million, although, of course, not all of that will be realized in 2024, and that there are other efficiencies and cash burn reduction opportunities that we are actively pursuing. CapEx spend during 2023 totaled $8.6 million, 20% lower compared to 2022. Turning to adjusted EBITDA and cash, we reduced our adjusted EBITDA loss quarter-over-quarter by 28% to $13.7 million in the quarter, resulting in a full year adjusted EBITDA loss of $80.1 million in 2023. Our cash burn also declined by approximately 36% to $15.4 million for the quarter as we continue to focus on our path of profitability and getting the cash flow positive. We ended the year with $121.4 million in cash on hand, including cash, restricted cash, and investments. Today, as seen on Slide 16, we're introducing our full year 2024 guidance, which includes total revenue of approximately $90 million to $105 million. At the high end, this reflects growth of approximately 68%, in line with the annual growth we experienced last year. We anticipate that Biorefining revenue growth will come from ongoing and new engineering services revenue as existing projects continue engineering work and advance to the subsequent phases of the development cycle, as well as from the sale of equipment from several projects that we expect to proceed to the construction phase of 2024, some of which were delayed from starting construction in 2023. We also expect incremental ongoing growth in recurring revenue with the additions of the ArcelorMittal and Indian Oil facilities [indiscernible]. We've experienced some timing delays for a subset of projects in the middle of the funnel that we attribute certain macroeconomic factors and elongated decision-making processes at some of our licensee customers. As a result, we have modified our forecasting to take into account these projects taking longer to move from early stage engineering to advanced engineering and from advanced engineering to FID construction start. In 2023, such timing delays with projects anticipated to enter construction push those construction starts and associated equipment revenues into 2024 and beyond. It's important to reiterate that projects are not dropping out of the pipeline. Rather, the tougher macroeconomic and higher inflationary environment leading to changes in steel prices and availability of equipment, combined with a lack of uniform regulatory protocols have elongated the recent project development cycles, which were closely monitored. We anticipate JDA & Contract Research revenue to continue its modest growth, but will selectively deploy our resources on high-margin opportunities and work that we believe will lead to future Biorefining licensing opportunities. On the CarbonSmart side of the business, we anticipate moderate growth this year, but believe there is substantial upside potential for the business as we negotiate committed offtake supply with our partners in China and Europe and should this current certification work underway include in a timely and favorable manner, unlocking additional access to supply for customers looking for product. Given the timing of and development cycles of our Biorefining business, we again anticipate our revenue will be back half-weighted and the Q1 2024 revenue will look very much like Q1 2023. This suggests that we expect to see strong quarter-over-quarter growth throughout 2024 to reach our guidance range. We're highly confident in achieving our forecast. I'd like to highlight a couple of key drivers that could influence outcomes between the lower and upper end of our revenue guidance rate. First, as mentioned, the significant upside potential in the CarbonSmart business should certifications materialize quickly. Second, more favorable timing on FID and construction start for some projects in the pipeline would further benefit our performance in 2024. We believe this top-line performance, coupled with the efficiency and cost-focused actions we are taking, will further benefit our margins and profitability over the near and long term. Adjusted EBITDA loss for full year 2024 is expected to be $65 million to $55 million, reflecting the expected top-line growth range combined with our ongoing focus on high-quality margin opportunities and cost controls. Importantly, we're resetting the timing expectation for when we will achieve positive adjusted EBITDA. We previously expected this to occur in late 2024 with positive full year adjusted EBITDA in 2025. While we're encouraged by the strong growth we continue to see across the business in 2024, the delay of our expected return to profitability simply reflects our shifting view of specific project development timelines and not an erosion of our project pipeline. We are keenly focused on execution to achieve and accelerate our planned path to profitability and remain excited for the future of LanzaTech. Ending last year with more than $120 million in cash, restricted cash, cash equivalents and investments, we have significant financial flexibility and remain focused on maintaining this flexibility to ensure we're in the best position to achieve our growth objectives. Although we believe we have sufficient liquidity to execute on our near-term objectives, we will remain opportunistic around potential ways to supplement our flexibility, especially if it can accelerate our path to profitability and our growth over the long term. With that, I'll turn the call back over to Jennifer for some closing remarks before we open the call for Q&A. Jennifer?
Jennifer Holmgren: Thank you, Goeff. 2023 was a milestone year with much to celebrate. That said, as we look ahead to 2024 and beyond, we appreciate that we must deliver relative to our financial targets. We have created a business model that we can scale in every region across the globe because we use distributed waste-based feedstocks that can use waste that are specific to each country. But working globally comes with challenges, not least from a regulatory perspective, especially if you're the first and are challenging the status quo and how goods are currently produced. Rather than give up, we persevere. And my team and I continue to be excited about our coming projects and our ability to deliver a new carbon materials and energy paradigm. By executing our business plan, we expect to reward our shareholders while we start solving our carbon problem today, which is what the world needs us to do. Thank you again for joining us and to so many of you for your continued support as we realize our vision of a circular carbon economy. Operator, we can now open the lines for Q&A, please.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Leo Mariani with ROTH MKM. Please proceed.
Leo Mariani: Hi, guys. I was hoping you could provide a little bit more color on the revenue ramp here. I guess, you're saying first quarter 2024 is going to be around $10 million, which is about half of what fourth quarter of 2023 revenues are, certainly kind of coming down in the near term. Can you maybe just talk about some of the specific kind of operational milestones that sort of drive that? It sounds like you're not expecting much growth in CarbonSmart, so is it generally just kind of milestones around some of these engineering service packages that kind of drive things here in 2024? And you kind of also referred to maybe changing the forecast methodology a little bit as well. So clearly you guys missed numbers here in 2023. So maybe just talk a little bit more about how you've changed methodology to come up with a forecast you guys think is maybe a little bit more realistic here in 2024?
Geoff Trukenbrod: Hey Leo, it's Goeff. Good to hear you -- hear from you, and happy to try and address each of those if I miss one as I answer, circle back to me on it. So, first and foremost, I think your first question was around Q1 2024. Yep, that is exactly what we were saying. It's really just a function of the timeline and progression of projects during the course of the year. And so, we happen to see a similarly aggressive ramp quarter-over-quarter through 2024. And it just so happens that Q1 of this year, we expect to be consistent with Q1 of the prior year. But yes, below Q4 of last year, just based on the timing of those projects. Yes, CarbonSmart, we do expect to only have modest growth in there as referring back to some of Jennifer's comments. We think that there's a lot of upside potential around CarbonSmart in the year, but we're taking a more conservative approach until there's some more clarity on certifications and access to supply. And then, I guess, finally, with regards to methodology on the forecast. Yes, we are looking at and reflecting on 2023. Historically, we've been very good at tracking to the projects that are going to say yes and that are going to progress. But in 2023, we certainly saw some elongated timelines and we've taken those into account and adopted a more kind of conservative forecasting methodology around timelines of projects in 2024 and beyond.
Leo Mariani: Okay, and obviously you've got your cost-cutting initiative underway, kind of looking at your kind of main costs here really I guess R&D and then sort of your cash G&A piece, certainly both those numbers came down a little bit in fourth quarter versus third quarter. How do you expect kind of R&D to progress in 2024 and how do you see cash G&A progressing? I mean, should those numbers kind of be similar to what fourth quarter 2023 levels were? Do you expect those numbers to kind of drop as a result of their cost cutting initiative as the year progresses? And then could you also address this potential plan to cut another $10 million in cash burn? I mean, it sounds like it's not, that's probably been implemented yet, but maybe it's kind of on the drawing board or something you guys are giving strong consideration to.
Geoff Trukenbrod: Yes, Leo. Appreciate that. So I'll hit on the last one first and then kind of circle back to your other questions. So, at least with regards to the plan that we're putting in place over the next quarter, we're not really in a position to share additional details about the plan at this time, but we'll certainly provide them as they occur. On your question about our OpEx, R&D, SG&A, relative to where we ended the year. I think as you heard Jennifer mention earlier on the call, we're very focused on cost controls this year. We think we have all of the resources that we need in R&D, or at least the breadth of capabilities there for 2024. We don't expect to be growing SG&A during the course of the year. Our expectation is that, we have the team in place, we have the size of the team in place that we need to achieve our goals, and so we expect to end the year either flat or down, both on a headcount basis and on a cost basis relative to where we ended 2023.
Leo Mariani: Okay. Those numbers are clearly coming down. That's nice to hear. All right, thanks.
Geoff Trukenbrod: Thank you.
Operator: Our next question comes from Pavel Molchanov from Raymond James.
Pavel Molchanov: Thanks for taking the question. Given the recent opening of LanzaJet’s Freedom Pines, I guess it's not producing yet. Can you talk about the role of Freedom Pines in your guidance for 2024, if any?
Jennifer Holmgren: Thanks for the question, Pavel. We don't have revenues inside our guidance for 2024 based on LanzaJet. However, they will start producing later this year. And we are progressing joint projects. That's really the key as I mentioned. That first commercial plant anchors all of the feasibility work of the joint projects that I mentioned during the call. We've got projects with Tadweer, with Air New Zealand and multiple others that are based on integrated LanzaTech, LanzaJet technology that actually takes some type of waste residue or CO2 and converts it all the way through SAF. So that's where you'll see our revenues in 2024. They'll be based on feasibility and engineering work to develop that portfolio of joint waste to SAF projects.
Pavel Molchanov: Okay, can we get an update on steel and oil, just a kind of an operational status? And also same question I asked earlier, what is the role of steel and oil in the guidance?
Jennifer Holmgren: Yeah, so that's a great question. And let me start with, we started the plant in December, but they needed to shut down one of the blast furnaces so they couldn't supply gas. So we stopped the operation after showing that everything was working well. And we've just restarted it just now. So the inoculator is starting up. In 2024, you will see two types of revenue from steel and oil. One is some licensing revenues, microbe revenues, engineering support revenues. But what you also see is off-take revenues. We will start to also provide ethanol to CarbonSmart partners out of steel and oil. We will have actually -- unlike China, we will have secured supplies dedicated to LanzaTech to be sold into the CarbonSmart market. So you will see both types of revenues.
Pavel Molchanov: Okay, very clear. And then lastly, Section 45X for biofuels will be kicking in in 2025, right? SAF being part of that. As you think about your business development in the US, will any projects be direct beneficiaries of the new Section 45 credit in 2025 or 2026?
Jennifer Holmgren: That is correct. We expect, first of all, the Georgia facility to be a beneficiary, because they will be able to leverage that. And they will also -- we won't have a second plant running by 2025 in the US, but we do have a planned one that includes the potential credit. We will also see us benefit from other non-SAF 45 credits. We are developing projects where the hydrogen 45V comes into play. So we're actually leveraging the 45 family, shall we say, to enable us to do more projects here in the US. And you'll be hearing more about that in the next few months, the projects that we are now taking through our feasibility stage here.
Pavel Molchanov: And then lastly, just kind of a quick housekeeping question. What do you expect in-house CapEx to be in 2024?
Jennifer Holmgren: I'm going to send that over to Goeff.
Geoff Trukenbrod: Thanks, Pavel. Good to talk to you. We expected our internal CapEx to be fairly consistent with 2023. We're not looking at any significant changes to CapEx, and we'll continue to keep a close eye on it to see if we can actually reduce it further.
Pavel Molchanov: Got it. Thanks very much.
Operator: Your next question comes from Ryan Pfingst with B. Riley FBR.
Ryan Pfingst: Good morning. So with 2024 revenue weighted to the second half, could you just talk about how strong your visibility is and if you see potential risk to some of that slipping into 2025?
Geoff Trukenbrod: Hey, Ryan, nice to talk to you. As we look at the forecasting and just thinking through our forecasting methodology, certainly we had time -- we had slippage in 2023, so I can't tell you that we certainly won't have any, but we do have good visibility into all the projects. We've taken -- injected some additional conservative timing into the pipeline at this point in time in our forecasting in order to try and take into account any of that. All of our projects are identified projects, named projects in the current forecast. So these are specific opportunities that we've been working through our pipeline, through that funnel over the last few years. So we've got strong relationships with these companies. We are close to them. We're tracking them on a daily and weekly basis. So we feel confident about them, and we do feel that there's additional upside opportunities that could come into the pipeline and come into the funnel during the course of the year. We had a good track record of that over the last couple of years as well, but those aren't factored into the forecast. Again, those would be upsides, but in terms of the forecast that we do have and the timing associated with it, we did still back half-weighted. We do expect strong quarter-over-quarter growth throughout the year, but we do have good insight and good visibility into all the opportunities.
Ryan Pfingst: Got it. That’s helpful. And then how are you thinking about potentially raising outside capital ahead of reaching EBITDA and cash flow positive likely next year?
Geoff Trukenbrod: Yes. No, thanks for the question on that too. As I noted in my prepared remarks, we believe we've got sufficient liquidity to execute on our near-term objectives. I should reiterate that we ended the year with more than $120 million in cash and equivalents. And even at our burn rate from last quarter, that takes us well into 2025. Beyond that, we've got various levers in terms of both CapEx and OpEx that we can utilize in quick fashion if we want to look to extend that runway, including the cost reduction actions that we've taken over the last couple of months. So again, I think we have sufficient liquidity to execute our near-term objectives, but as always, we're going to remain opportunistic and flexible as we drive to accelerate growth and reduce our time to profitability.
Ryan Pfingst: Makes sense. Thank you. I'll turn it back.
Operator: Our next question comes from Jeffrey Campbell with Seaboard Partners. Please proceed.
Jeffrey Campbell: Good morning. You've called out CarbonSmart as a specific fourth quarter 2023 shortfall item and what was approximately $18 million guidance miss. Yet the press release describes 2024 CarbonSmart outlook as incremental growth for reasons that you've articulated in the call. How do we put these two ideas together as we think about 2024? It apparently was a big line item in fourth quarter 2023, but it's incremental in 2024.
Geoff Trukenbrod: Yes, let me start by addressing that. Thank you for the question, Jeff. We took a very conservative approach, as Goeff mentioned to our forecasting. And what happened in the fourth quarter were certification misses, and we're still waiting for guidance from the European Commission, for example, on how to handle these fuels. So we decided not to put that upside into our forecast because of the fact that the regulatory environment is such that we can't guarantee when it will come through. And that's essentially what happened in the fourth quarter, and we just are not prepared to put it all in. We are working with our partners to help them with certification. We are working with our partners also in ensuring that we have ethanol available to us should the certifications come through. But we have taken a very, very conservative view as to whether the governments will come through with all of the appropriate guidance because these recycled carbon fuels, taking a still no gas and putting it into the fuel pool is not something anybody has done before. Carbon capture and reuse is not something that anybody is doing commercially. So we just want to make sure the government -- we don't try to get ahead of government legislation.
Jeffrey Campbell: Okay, thank you. And just further to that point, when those favorable regulations come to pass, will the immediate effect just primarily be pricing or do you see it having some effect on demand as well?
Jennifer Holmgren: It will be both because these fuels will then be mandated and that means that they will be required to be put into the pool in some countries. And so, that will increase the price but it will also increase demand. And that is also why we're so focused on making sure we have reserved offtake from our various commercial plants. By having reserved offtake, we will stay ahead of the demand and we'll be able to supply product.
Jeffrey Campbell: Okay. The US has broken through with Freedom Pines, but otherwise the states don't seem to be an important region for LanzaTech at this time, based on your description of the regions that are. Do you see anything on the horizon to create project interest in the US? And I'm kind of thinking about your nascent agreement with Technip, I want to ask this question.
Jennifer Holmgren: Yes. no, that's a great question. We have multiple projects in the pipeline in the US. As I mentioned, the IRA really makes a big difference for us. And so, it impacts both SAF projects, integrated projects with LanzaJet. It impacts hydrogen supply for a couple of projects that we're developing right now in the Gulf Coast. I'm not at liberty to mention our partners' names, but I would say that over the next six months, you will see a number of projects walking through the pipeline in the US. And we look forward to discussing those with you.
Jeffrey Campbell: Okay, great. And for my final question, just kind of a higher level one. To what extent do you think the project decision delays that you've talked about have been driven by current economics? And you mentioned interest rates deal and so forth? [indiscernible] some visible ESG fatigue that seems to be becoming more visible globally.
Jennifer Holmgren: Yes. No, that's right. So I would say it's both, right? Because ESG fatigue, as you call it, or what we call people leaning back and out of investing in new technologies, new approaches that are based on carbon reductions, we see a lot of weakening there and that does create delays. On the capital side, we talked about interest rates, but we also talked about the cost of steel. The cost of steel is still higher than it was pre-COVID, right? And even though the prices are coming back down, 20% increase in the cost of steel is significant in a project that's $100 million, right? So I think the cost is actually an important driver, and because of that, one of the things we prioritize is both partnerships with suppliers so that we can reduce the cost of our supply chain, but also we've worked very hard on reducing the cost of some of our technology. So we've devoted some time to that. So those are the things that have slowed us down, but we are starting to see pick-up, and there's a lot of interest in dealing with EPS requirements in the future, mandates around power to act CO2 projects in Europe. So we're starting to see a little bit of a tailwind now coming out of this. But yes, hopefully that addresses your question.
Jeffrey Campbell: Yes. That was very helpful color. I appreciate it. Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Jennifer for any closing remarks.
Jennifer Holmgren: Thanks to everybody for joining us. It's been our first year in the market and we're very excited about the progress we've made. And clearly there's a lot more work to be done, but we really appreciate all of your support. We think 2024 will be an important year for us, and we look forward to reporting on our progress at the next quarterly meeting. And thank you for your time.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.